Operator: Greetings, and welcome to the Quaker Chemical Corporation First Quarter 2018 Results Conference Call. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Michael Barry, Chairman, Chief Executive Officer and President for Quaker Chemical Corporation. Mr. Barry, you may begin.
Michael Barry: Thank you, Dana. Good morning, everyone. Joining me today are Mary Hall, our CFO; and Robert Traub, our General Counsel. After my comments, Mary will provide the details around the financials, and then we'll address any questions that you may have. We also have slides for our conference call. You can find them in the Investor Relations section of our website at www.quakerchem.com. I'll now start off now with some remarks about the first quarter. I'm pleased we have delivered another good quarter, despite some market challenges. The quarter's results were largely driven by two major factors. The first was sales and the second was gross margins. Let me start with the margins. Since mid-2016, we have been in a generally rising raw material cost environment. And as we have discussed in the past with raw materials, there's a lag effect between changes in our raw material costs and adjustments to our product pricing. On the last conference call, our expectation was that gross margins would begin to increase in the first quarter and they did. While raw materials continue to rise sequentially from the fourth quarter, our previous price increases were enough to begin to turn the tide and we saw our gross margin increase. The good news is that we expect our gross margins to trend upwards over the next few quarters and expect that for 2018, our gross margins will be around 36%. While we expect certain raw materials to continue to increase especially in the first part of the year, we also have price initiatives in place to offset the raw material cost increases where necessary. While we continue to experience more of this lag effect that we talked about in the past, we are making good progress and that is the reason for our higher margin expectations. So we do expect our margins to continue to increase, but the exact timing of when we will reach our 37% target is hard to predict. Now let me move on to sales. Our sales increase 9% versus prior year with 6% of the increase coming from foreign exchange. Let me now give you some additional color on our region's performance for the quarter. Our biggest segment, North America showed a sales increase of 5% with volume growth near 2% and the remainder mainly due to price increases. Our European or EMEA region showed a 15% increase with exchange rates being the primary reason. We did see a volume decrease of 6% being offset by primarily higher prices. The EMEA volumes in the first quarter were actually quite strong, but the prior year volumes were unusually high due to atypical sales pattern. In our Asia-Pacific region, our sales increased 8% with higher volumes being the primary driver. And for the seventh quarter in a row, we're happy to report the South America showed good revenue growth. The 11% growth in South America sales was primarily due to volume growth, as well as price increases. One way to look at our market share gains is to look at our overall organic product volume growth in the quarter and compare that to the underlying production growth in our base markets of global steel and auto. We estimate that our overall volume growth excluding EMEA due to the atypical sales in Q1 2017 was 4% as compared to the underlying growth in our base markets which we estimate at 2%. We believe this spread of 2% is indicative of our share gains and is due to our commitment of our customer intimacy model. Specifically, we put our customer needs first as our top priority providing a strong service and business solutions. I believe this approach continues to differentiate us in the marketplace. In addition, we continue to invest in many other initiatives in our existing business lines in each of our regions that will extend our competitive advantage and help us gain further share, which includes growing our recently-acquired technologies around the globe. And as mentioned in the past using the baseball analogy, I see each initiatives as singles and our goals to hit many singles to produce multiple runs and thereby show continuing growth even in the challenging market. One item worth mentioning that I believe was worth a number of singles was our recent purchase of our partner's interest in our India JV. We now have 100% ownership in our India business which we believe will have strong inherent growth characteristics in our base markets for the foreseeable future. So in summary for the quarter, despite the challenge we faced with higher raw material cost, we were able to grow our adjusted EBITDA by 9% and our non-GAAP earnings by 17%. In a nutshell, we were able to do this by growing in our base markets, taking share in the marketplace, beginning to increase our gross margins and continuing to leverage our SG&A. I now like to make a few remarks about our combination with Houghton International. Since our announcement in the April of last year, we've been proceeding down numerous paths to close the deal. The one path that largely determines timing of the close is the regulatory review process. To date, we have received approval from China and Australia. The U.S. FTC and European Commission are still in the process of their reviews and we do expect to divest a small number of product lines, but the current expected remedies are consistent with our regional expectations. We have expected to close in the second quarter once we filed with the European Commission in Q1. We were going down a two-step path with the European Commission, a first, gaining approval on the remedy from the European Commission and then after that, getting approval for the buyer. As we were going down this path and based on discussions with the European Commission, we decided that it would be best to go for one approval for both the remedy and the buyer at the same time. Though we stopped the filing that was under way and we're now in the process of choosing the buyer for the divested product lines. We expected buyer to be chosen in the second quarter and expect to file with the European Commission for both the approval and the remedy of the buyer. The good news is that we're in general agreement with the regulatory authorities on what remedies have to be made. We currently expect regulatory approval from both the U.S. Federal Trade Commission and the European Commission, as well as the closing to be completed over the next few months. As we said in the past, we are excited about this combination as it will essentially double the size of the company, enable continued above-market growth through group cross-selling opportunities and provide at least $45 million in cost energies. Our intent is to have an investor call after the closing and provide an updated view of the new company as well as our expected synergies. So, I believe 2018 will be another good year for Quaker. We expect to close the combination with Houghton, see gross margin improvement and get benefits of the tax reform. In addition, we expect to see growth in our end markets in those regions in the world and we expect to continue to grow above the market as we have done historically through our growth initiatives and market share gains. In closing, I want to thank all of our associates whose dedication and expertise helps to create value for our customers and shareholders and differentiate Quaker in the marketplace. People are everything in our business and by far our most valuable asset. I am very happy with our Quaker team and continue to be excited about the upcoming combination with the Houghton International team. And now I'll turn it over to Mary Hall, our CFO so that she can provide you with more details behind the financials. Once Mary has completed her comments with the financials of the quarter, we will address any questions that you may have. Mary?
Mary Hall: Thank you, Mike, and good morning, all. Before I begin, please remember that comments made during this call include forward-looking statements which are based on current expectations, estimates, projections, and assumptions that are subject to risks and uncertainties which may cause actual results to differ materially. For a discussion of these risks, please review the cautionary statements regarding forward-looking statements included in our earnings release and the Risk Factors included in our 2017 Form 10-K filed with the SEC. These are available on our website. Please refer now to Chart 4 and 5 as I review our financial performance. Quaker reported a 17% increase in non-GAAP earnings per share to $1.38 this quarter versus analyst consensus of $1.25. These results were driven by strong sales growth and continued discipline in managing costs. While our gross margin continue to reflect some pressure year-over-year due to increased raw material cost, we did see sequential improvement over Q4 2017. Our net sales increased 9% to about $212 million, compared to Q1 of last year, benefiting from organic volume growth in all regions except EMEA as Mike explained and deposited impact from selling pricing mix. We also benefited from a generally-weaker dollar with foreign exchange translation increasing our top line by 6%. Appreciation of the Euro versus the U.S. dollar was the largest driver for the FX impact with the Euro appreciating about 15% versus Q1 last year from $1.07 to $1.23 per Euro. The favorable FX impact flowed through to the bottom line with a positive 5% impact on earnings this quarter. Our gross margin of 35.6% is down from last year's Q1 of 36.4%, but up sequentially from 35.1% in Q4. As we discussed on our last call, gross margin is beginning to show the positive impact from price increases. As Mike mentioned, we continue to expect gradual gross margin improvement, trending up to the 36% area this year. Quaker continue to show good cost discipline as we leveraged our infrastructure to support the strong top line growth, helping to offset the gross margin decline. Note that our GAAP operating income and operating margin reflect $5.2 million of Houghton-related expenses. If we look at the ratio of the SG&A lines in sales on Chart 5, the Q1 ratio of 23.6% compares favorably to the 24.7% in Q1 of last year, helping to drive the improvement in operating income and operating margin. Please also note that our effective tax rate in Q1 of 29.8% is down from last year's rate of 50.8%. Both periods reflect the impact of Houghton combination-related expenses, some of which are non-deductible. The company estimates that excluding these non-deductible expenses, our effective tax rate would have been approximately 26.% this quarter and 28% in Q1 of last year. The decrease is primarily the result of U.S. tax reform. For the full year, we continue to expect that our effective tax rate will be between 23% and 25% excluding the impact of Houghton combination related cost. As a result of our solid operating performance, adjusted EBITDA was up 9% to a record $30.8 million for the quarter. Operating cash flow of $2.7 million is down a bit from last year's $8.3 million, primarily as a result in investment and working capital to support the 9% sales growth. Our liquidity and balance sheet remains strong with a net cash position of $17.2 million. Turning to Chart 6, here you see the volumes were up Q-over-Q, despite the atypical volume levels in EMEA in Q1 of last year as Mike mentioned. In Chart 7, we see the sequential uptake in gross margin that I described earlier. We believe our insignificant increases in raw materials from current levels that we will see our gross margins trending upward over the next few quarters to the 36% area. Chart 8 shows our continued and consistent positive trend in adjusted EBITDA as we further leverage our operating cost while growing the company and the current trailing 12 months' adjusted EBITDA of $117.9 million is our highest to date. Chart 9 depicts our cash and debt balances and reflects our strong balance sheet with a net cash position of $17.2 million as I mentioned earlier. In summary, Quaker continues to consistently deliver good earnings and cash flow despite various market challenges. We expect 2018 to be another good year for Quaker as we focus on delivering value to our shareholders and closing the Houghton combination. Thank you all for your interest in Quaker and now, back to you, Mike.
Michael Barry: Thank you, Mary. At this stage we like to address any questions from the participants on the conference call.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question is coming from Edward Marshall of Sidoti & Company. Please go ahead.
Edward Marshall: Good morning, guys. How are you?
Michael Barry: Good. Good morning, Ed.
Mary Hall: Good morning.
Edward Marshall: Good morning. Let me start with the volume and looked a little bit weak, up only 1%. I know actually about few things in EMEA, it looks like there's up 4%, but then still seems like it's under trend from the prior quarters. Is something in particular that was going on there that you can address at the markets that you served slow a little bit? I noticed that you said it was just up 2% for the market.
Michael Barry: Yes. If you look at some of the markets that we were in, steel, especially cold-rolled steel and so forth, relatively essentially almost flat, almost roughly in that 2% range, but I haven't seen some conflicting things around that. Overall, we estimated to be around 2%, which is not a consistent, really, of what were our expectations going forward. We expect these are markets to be in that kind of modest growth range. And you're right, I think compared to last year, we had some of the higher growth in both the steel and automotive markets, but this is always our expectations for longer term for these markets.
Edward Marshall: I don't want to get too far ahead -- as I later in hop on [ph] your core market share, do you think that their volume of markets are growing faster than the Quaker market themselves?
Michael Barry: They are uncertain markets that we're not as large in. For aluminum for example which would have generally higher growth characteristics for aerospace. They have a bigger position than we do. They definitely are much more diverse in their end-use markets around not working as well. How that all pans out, I think we're still in this modest range, I think of a few percent market growth.
Edward Marshall: Got it. And then when we look at the tariffs that were on than weren't or at least away, kind of customer reaction, was there a sourcing more into North America, kind of discussion that might have occurred maybe softer in Asia, picked up a little bit more in North America? And how do you think now that we're kind of halt at these tariffs that might change?
Michael Barry: We don't feel the tariffs really have a meaningful impact on Quaker because we generally have equal shares in the steel business everywhere around the world. If there were shifts -- and we haven't seen I would say too many shifts at this point -- but if there were shifts, we don't expect it to impact as that much.
Edward Marshall: Got it. And the final question for me is I'm just trying to get a gauge as to if raw material prices are up, say, 100%, how much of that have you captured on the index with your pricing increases? I guess maybe what inning are you on to use a baseball analogy about recapturing that price? I understand your guidance for the year, but maybe you can walk me through how much you think you're already gotten versus where are you expected to be...
Michael Barry: It's a very complex question because generally, the way price increases tends to go is that at a certain point in time, we make price increases based on the information we have relative to what has already impacted us, and then other things happen subsequently from that. Kind of like if things have stayed flat from this point onward, we are already starting to see some price increases that were coming in place in the first quarter, price increases of our own material cost for example, that are not fully baked in to this type of quarter yet. Now, we have to go out and get some more price increases. So it continually have this lag effect going on. One thing stabilized, as we say, we think it's like a three to six [ph] period before everything goes through. It's really the best I can kid of tell you. Because things are just continually to evolve and you continue to see these upward trends in raw materials, it's just a continuing event for us.
Edward Marshall: Yes, like the rabbit on the track? I appreciate the comments. Thank you very much.
Michael Barry: Sure. Thanks, Ed.
Operator: Thank you. Our next question is coming from Mike Harrison of Seaport Global Securities. Please go ahead.
Mike Harrison: Hi. Good morning. Nice start to the year.
Michael Barry: Good morning, Mike. Thank you.
Mary Hall: Good morning.
Mike Harrison: I wanted to go at the raw material question from a different angle. Just wondering what you're seeing in terms of trends looking at presumably some of the crude-based rows are still showing some risk of inflation or still moving a higher year. I'm wondering if that's also the case for some of the animal and plant-based materials that you used. I'm wondering if you're seeing any signs of stabilization as you think about the three main buckets within your raw material basket?
Michael Barry: Yes. I think the one that has the most upper pressure would be the crude-based raw materials, mineral oils and so forth. Vegetable oils -- depends what vegetable are you talking about that generally affect or more stable at this point. And then animal fats really gets into more supply demand around things around there and then you have a whole host of other chemicals that are kind of unrelated but they tend to meet over time, go up with crude. I kind of agree with what you said there in the beginning. I think it's mainly the crude ones that had more chance for upper potential.
Mike Harrison: So, fair to say that still at this point still moving higher, but maybe the rate of increase has slowed from what you've seen over the past few quarters?
Michael Barry: Yes. I think that's fair. Although you never know what happens tomorrow. Right? But, yes.
Mike Harrison: Just to clarify on the gross margin guidance. Do you expect to be able to hit 36% as a gross margin number for the full year 2018 or is that 36% number just a number that you expect to hit at some point before year-end?
Michael Barry: I would expect that our -- it will definitely trend before year-end. We're not there in the first quarter, obviously, but we're trending upwards towards that. We will think that when you look at the end of the year and you would round up or down where we are for gross margin, it would round for 36%.
Mike Harrison: And then I was wondering if you can talk a little bit about the Asia-Pacific price mix component. It looks like it was negative again this quarter. It looks like it's been negative on sales if we go all the way back throughout 2015, 2016 and 2017, price mix was negative in Asia-Pacific even as we've seen fairly persistent raw material inflation at least over the past couple of years and then obviously more recently some pickup in demand in that region. So just wondering, can you help us understand where that dynamic is coming from? What it would look like if we could break out the mix piece versus the pricing piece and then just wondering if there's any chance that we could see price mix in Asia turn positive during 2018?
Michael Barry: I think first of all, it's really very difficult to break out price mix right now for us, but my sense as we go for our business or use and so forth is that a lot of it is in the product mix of things and that you have a lot of different products, different countries that are in there. We've pointed in the past to mining, how mining has come back especially in China and how that has some lower points in there. So there's nothing fundamentally we feel bad or not good about in Asia. We feel really good. We're getting good growth in Asia-Pacific, we're taking share in Asia-Pacific. So we feel pretty good about it. I think you're just seeing mainly these mix effects.
Mike Harrison: All right. And then last question for me is just on your efforts to win share with the transplant auto makers in North America. I was wondering if you could give us an update on how you guys have been doing internally and maybe talk a little bit about how the Houghton acquisition could give you additional opportunities to gain metal working fluids business with those transplant auto makers in North America?
Michael Barry: Sure. We've been putting a lot of effort over time into that and I think we're continually seeing increased sales into the Asian auto makers that are in the U.S. I think we're definitely seeing let us say above-market type growth there. So I feel good about the progress that we're making there. And as far as Houghton is concerned, Houghton has a very nice effort there as well and it's probably been added more longer period of time than we have and we're very excited about the team, the people that they would bring to join our efforts as well. We think that bodes well for the combination.
Mike Harrison: All right. Thanks very much.
Michael Barry: Thank you.
Operator: Thank you. Our next question is coming from Jon Tanwanteng of CJS Securities. Please go ahead.
Jon Tanwanteng: Good morning. Very nice quarter and thank you for taking my questions.
Michael Barry: Thanks, Jon. Good morning.
Jon Tanwanteng: Net cash decreased a bit, Mary. I think you mentioned that was from working capital investments to support the sales growth. When you look at the future quarters, is that going to continue to be a draw on cash and how do you expect that to play out as we go through the rest of the year?
Mary Hall: Right. We think that was primarily a first quarter. There is some seasonality in the first quarter, compensation, payments and the like that occur in the first quarter and there also were higher cash payments related to the housing combination expenses in the first quarter of this year than first quarter of last year. So really, primarily seasonality of working capital, which is typical for us in the first quarter.
Jon Tanwanteng: Okay, great. Thank you. And then just maybe a little more commentary on Houghton expected close. I think the language is a little bit different from the last time you spoke about it. Maybe you can push on to Q3? Am I interpreting that correctly and the reason behind that?
Michael Barry: Yes. As I tried to mention in my remarks here, we were going down a path in a two-step process with the European Commission and February we have made a filing to get approval for the remedy and then as we learn more and were in discussions with the European Commission, we thought that it's best that we pull that filing and go for one approval with them for both the buyer and the remedy. Now we're in the process of finalizing the buyer. We expect that to happen in the second quarter and then once we do that, we would file with the European Commission and that is really kind of a timing thing and going through that process. It's uncertain to us if that's something that will be completed in the second quarter or the third quarter, but like we said, our language would be something that we would expect to be completed over the next few months.
Jon Tanwanteng: Okay, just to clarify, it's a change in the type of filing and the procedure as opposed to any kind of push back or anything that you're getting from the regulatory bodies?
Michael Barry: Yes. We're trying to get approval on one step versus two different steps.
Jon Tanwanteng: Yes. Okay, great. And then one final one for me, just remind us what interest rate you're expecting to pay on the debt portion of the financing especially if the day pushes out a little bit?
Mary Hall: Yes. The interest rate on the financing does not change, Jon, with any delay in the close. So that's pretty much baked into the agreement with the banks. It starts out at a LIBOR plus 2% with spread of about 2% and just remember that roughly 20% or so, the financing is in Europe and the equivalent LIBOR rate there is less than the rate here the LIBOR that would be used for the U.S. dollar denominated portion. So when we say in the Q when we said before that we expect the interest rate based on current rates to be in that 3.5% to 3.75% area, that's how you still get a balance of the rates balance out to that area based on the combination of U.S. dollar denominated and Euro denominated financing.
Jon Tanwanteng: Great. That's very helpful. Thank you so much.
Operator: [Operator Instructions] Our next question is coming from Laurence Alexander of Jefferies. Please go ahead.
Unidentified Analyst: Good morning. It's Dan Donofrio [ph] for Laurence. How are you, guys?
Mary Hall: Good morning.
Michael Barry: Good morning, Dan.
Unidentified Analyst: You mentioned that this mixed shift in APAC was hurt by increased mining. I was just wondering how you would rank your end markets on terms of like margin profiling there and mix? If this feels the best -- or how it kind of works out? Is there one that's particularly better than others?
Michael Barry: Well, there's a lot of different mix effects going on between the different businesses, different customers, different countries and so forth. In general, our overall profitability in our Asia business is very good for us and I think as you can see by the profit [indiscernible]. I don't vision having kind of poor business or some better -- they're all good to mine the way I look at it.
Mary Hall: And I don't think we've said, Dan, really the mining was the cause of that. We were just using that as an example of what we've used in the past. A mixed issue that if volumes come up in a particular area that might have a slightly lower margin than some of the other businesses. That was just an example of a mixed effect.
Unidentified Analyst: Got you. And then I guess along the same lines though, when you -- when Houghton's added in, how does that affect mix or does it change things at all? Is it higher or lower?
Michael Barry: Yes, we haven't disclosed. Obviously once we close this combination, we'll have a separate hall, we'll go through a lot with what the combined entity looks like, the new projections on synergies and so forth by what we put out in our proxy for the shareholder vote, you can kind of look at the high level, there is not a real big material difference between the two companies, that way from a margin perspective much.
Unidentified Analyst: Got you. Thank you very much.
Michael Barry: Thanks, Dan.
Operator: Thank you. At this time, I'd like to turn the floor back over to management for any additional or closing comments.
Michael Barry: Okay. Given there's no other questions, we will end our conference call now and I want to thank all of you for your interest today. We are pleased with our results for the first quarter and we continue to be confident in the future of Quaker Chemical. Our next conference call for the second quarter of 2018 results will be in late July or early August. And if you have any questions in the meantime, please feel free to contact Mary or myself. Thanks again for your interest in Quaker Chemical.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's conference. You may disconnect your lines at this time and have a wonderful day.